Operator: Thank you for standing by, and welcome to the Nufarm Limited FY '25 Results Conference Call. [Operator Instructions] I would now like to hand the conference over to Mr. Greg Hunt, CEO. Please go ahead.
Gregory Hunt: Thank you, and good morning, everyone. Welcome to Nufarm's Financial Year '25 Results Presentation. Joining me today are Brendan Ryan, Nufarm's CFO; Brent Zacharias, Group Executive of Seed Technologies; as well as Rico Christensen, who is the Group Executive Portfolio Solutions. And as you'll see from this morning's announcement, CEO [Technical Difficulty], I will talk to the transition in more detail later in the presentation. But in terms of the call today, I will speak to the financial year '25 results. Brendan will speak to the financials and Rico will cover priorities for financial year '26 and the outlook. Before we move to the presentation, I draw your attention to the disclaimer on Slide 2 and in particular, the wording related to forward-looking statements. To the result, since the half year, we have delivered on key profitability and leverage unwind targets that we communicated to the market in August. We are very pleased with the performance of Crop Protection, delivering an earnings increase of 18%, with importantly, growth across all regions. We have concluded the review of Seed Technologies and the Board has determined that a reprioritized strategy is expected to deliver the best value for shareholders. We have taken steps during the year to reduce cost and capital requirements across the Seeds business, and we are in very good shape to deliver upside from the business in the future. We reported a statutory loss of $165 million, which includes $142 million of mainly non-cash material items relating to the outcomes of the Seed Technology review and the broader performance improvement program across the business. We are confident that the action that we have taken sets the business up well for the future. We reduced net debt by $538 million from the half and ended the period with a leverage of 2.7x. This reflects both the seasonal unwind that's inherent in our business, as well in our ability to delever through internal discipline and efficiency. We are in good shape to deliver earnings growth and further leverage reduction this financial year through growth in Crop Protection and improved performance in Seed Technologies. Meaningful positive cash flow generation and a lower CapEx profile is expected to support further deleverage at the end of the 2026 financial year. I'll now cover some of the highlights across financial year '25. In Crop Protection, as I said, we delivered a strong result, with growth in profitability in all regions and EBITDA margin improvement of 140 basis points. In North America, we recorded a record year for profitability in the turf and ornamental segment and in APAC, a record profit in Asia. In Europe, a 22% uplift in profitability, and this reflects the focus that we've had on improving returns in that business. Across Seed Technologies, we have made good progress on the repositioning, which includes a reduction in cash costs. Our focus is on growing our profitable hybrid seeds business, and we are really pleased with the increased revenue and profitability in South America. In bioenergy, as the market fundamentals have continued to strengthen, we increased the planted area in carinata. The market has evolved as expected, with a shortage of feedstocks to supply the demand creation by the implementation of the Renewable Energy Directive in Europe and the subsequent mandates. We have a long track record in developing solutions for farmers through innovation, with a capital-light technology partnership model. We have a very strong near- and medium-term pipeline and have delivered multiple product launches in multiple markets across our Seed and Crop Protection platforms. New product launches in Crop Protection contributed around 15% of financial year '25 revenues. And on operating performance, we are pleased with the gross margin improvement of 100 basis points. Good internal discipline around working capital and cost has supported the net debt unwind in the second half. As you know, we announced a review of our Seed Technologies business in May of this year. The review considered a thorough assessment of our strategy as well as the potential for a sale and bringing in a capital partner. After a considerable amount of work, the Board has determined the highest value outcome for shareholders is expected to be continued ownership under a reprioritized strategy, where we are focused on growing our hybrids seeds business, a reduction in the cash requirements for omega-3 and expanding our bioenergy business with BP. We have already taken action to reduce cash costs and capital requirements across the business. We are focusing on the continued growth of hybrid seeds in markets where we have established positions and strong growth prospects, particularly in South America and Australia. We plan to grow bioenergy, supported by our agreement with BP, and expected demand growth coming from biofuels mandates. In omega-3, our near-term focus is on supporting customers with the existing inventory and managing to a cash flow-neutral outcome. We have the opportunity to reposition production over the medium term to South America, with the aim of lowering our cost of production and improving our competitive position. We have a clear path to generate benefits for shareholders as we partner with downstream customers and optimize to a lower cost position. We are really pleased with performance across Crop Protection, with underlying EBITDA up 18%. We focused on profitable growth in a flat volume environment. Revenue and profit grew with the benefit of both mix and margin. And the team did a really good job on inventory management, and we are seeing the benefits coming from the performance improvement plan predominantly in Europe. Turning now to the regional Crop Protection businesses. Underlying earnings increased 10% in APAC, a good result considering the impact of dry weather in Australia. We delivered record revenue and profitability in Asia, and the margin uplift was driven by improved COGS of goods and product mix. In North America, we grew underlying earnings by 19% across the year, with momentum building in the second half, which was up 30% on the second half of 2025. This was an excellent result given the team we're navigating some dynamic market conditions in relation to tariffs and antidumping duties. The turf and ornamental segment had a very good year delivering a record result, primarily driven by improved demand in the golf and lawn care sectors. Margin uplift was driven by improved COGS and product mix. As I mentioned earlier, we also had a very good year in Europe with underlying EBITDA increasing by 21%. Margins expanded from improved mix and the benefit improvement program. Performance also benefited from better seasonal conditions and market conditions driving volume growth. The business has good momentum with more upside to come from the continued execution of our performance improvement plans in the current year. Turning now to Seed Technologies. We thought it would be helpful to give you more visibility on the segments. So we have split out our earnings from hybrid seeds and the emerging technologies, which includes bioenergy and omega-3. Hybrid seeds performed well with EBITDA of $67 million, with the lower earnings on the prior period mainly a result of dry weather in Australia, which impacted canola seed sales. South America sorghum and sunflower were ahead of the prior year. We have streamlined our European and North American operations as we focus on the markets which are most attractive and where we have the strongest positions and growth potential. In bioenergy, we had the benefit of growth in hectares planted and resulting seed margin. However, this was offset by lower licensing fees from our agreement with BP. We have seen strong recovery in GHG market values in Europe, which is driving increased oil demand and value outlook for carinata. Omega-3 earnings were impacted by the fall in fish oil prices. Inventory has been carried into this financial year and will provide us with the ability to serve customers while we look to ship production to South America, where we are targeting our lower cost of goods. We are advancing towards customer offtake agreements to improve both volume and price predictability. And as I said before, we have significantly reduced the cost and capital profile for our omega-3 business. As a final point, I'd like to emphasize that as a result of our view -- our review, we have shifted the cash requirements of the Seed Technologies business to become more self-funding. I will now hand over to Brendan to cover the financials.
Brendan Ryan: Thanks, Greg. I'll begin with a summary of the financial year '25 performance. The results presented today is consistent with the market update provided in August. For financial year '25, we delivered a solid top line growth with revenue up 3% year-on-year. Gross profit increased by 7% and the gross profit margin expanded by 1 percentage point to 26.1%, driven by strong Crop Protection margins and a favorable mix. EBITDA after material items was a loss of $74 million. Net financing costs were $101 million, down 6% year-on-year. The reported statutory loss of $165 million, impacted by 2 significant factors. The material items of $142 million, primarily from the Seed Technologies' review. I'll provide more detail on this shortly -- and $53 million of early-stage losses from emerging platforms, principally omega-3 relates to the fall in fish oil prices. Underlying EBITDA was $302 million compared to $311 million in the prior year. Importantly, excluding emerging platform losses, underlying EBITDA was up 10% year-on-year, reflecting a strong improvement in crop protection profitability and resilient hybrid seeds performance. Now to more detail on the material items. The after-tax impact on material items was $142 million, which is predominantly non-cash with a financial year '25 cash impact of approximately $30 million. The key component of material items were $118.7 million from Seed Technologies' asset rationalization and restructuring. In hybrid seeds, we have scaled back our European sunflower operations as the prolonged, more severe Russia-Ukraine conflict has significantly reduced the attractiveness of that market. This resulted in the impairment of sunflower IP and a write-down on associated seeds inventory, representing the majority of this material item. Also included in this material item is to scale back on omega-3 plantings in North America, with plans to move production to South America to achieve more competitive cost of goods sold. This has resulted in the write-down of the excess omega-3 seed inventory. There are also associated redundancy costs with the cost out program and workforce reductions. Separately disclosed but primarily connected to seeds review is $5.4 million of legal and advisory costs. We also incurred $13.4 million restructuring costs in Crop Protection. These costs include redundancy costs with the cost-out program and some asset rationalization. In financial year '26, we expect to see clear benefits from the action taken in financial year '25, with reduced capital expenditure, more focused capital allocation and lower staff and operating costs. Turning now to margin and costs. Underlying gross margin increased by 80 basis points, with Crop Protection delivered a strong 140 basis points improvement, driven by cost of goods efficiencies and favorable mix. Operating costs remain an important focus. Underlying SG&A increased by 10% year-on-year and when expressed relative to revenue was up 140 basis points. This growth reflects inflationary pressures, increased investment in R&D, marketing and business development to support growth to the top line. Looking ahead, operating cost discipline is a priority. Full period benefit of the $50 million cost savings program is expected to broadly offset natural cost inflation in financial year '26. Now to the balance sheet. Average net working capital sales improved to 38.2%, improving by 440 basis points and firmly within our 35% to 40% target range under our capital management framework. The improvement was primarily driven by inventory efficiency, supported by a focused program and inventory reductions across all crop-protected regions. Average inventory days improved by 16 while receivables days were down 4, reflecting strong cash collections during the second half seasonal unwind. Payable days remained flat, reinforcing that the net working capital progress was largely an inventory story. Working capital management remains a key focus with further improvements targeted in financial year '26. In respect to capital expenditure, it was broadly consistent with the prior year. Same as property, plant and equipment focused on health, safety and environmental priorities and plant reliability. Proper tax intangible CapEx continues to deliver value into the product pipeline. Investment in Seed Technologies growth platforms was also similar to prior year. For financial year '26, we are targeting CapEx below $200 million, reflecting disciplined capital allocation. The reduction will come from lower manufacturing spend following significant investment in recent years. Crop Protection R&D focus more on the near-term priorities and reduce capital for Seed Technologies aligned to the reposition strategy. It's worth noting that CapEx in the first half of 2026 is expected to be a significant reduction compared to the prior period, given the spend last year was first half weighted. In terms of free cash flow, it was negative $131 million, reflecting several key factors. While net working capital movements excluding omega-3 were positive, these gains were offset by the omega-3 position. The outflows on interest, tax, CapEx, lease and step-up security distributions contributed to the overall cash flow result. Looking ahead, we are strongly positioned to deliver meaningful positive free cash flow in financial year '26, supported by anticipated continued improvement in working capital efficiency, planned CapEx below $200 million, reflecting disciplined investment, significantly lower cash requirements from omega-3 and expected EBITDA growth year-on-year. In terms of net debt, net debt reduced by $538 million in the second half '25, reflecting the normal seasonal unwind, demonstrating strong second half cash conversion. Year-end net debt was $824 million, with unfavorable FX movements and omega-3 inventory contributing to the year-on-year increase. Leverage closed at 2.7x, below the guidance provided in August. Reducing average remains a priority, supported by the actions outlined earlier to deliver positive free cash flow in financial year '26. In terms of funding, gross debt, excluding leases was $1.154 billion at year-end. Liquidity remained strong with $345 million of undrawn facilities, consistent with the prior period and $475 million in cash. Our diversified and flexible debt facilities are underpinned by a covenant-light financing structure and a staggered maturity profile. The short-term omega-3 credit facility has been successfully refinanced into a 2-year amortizing loan facility with a maturity of September 2027. Looking ahead, we are well positioned to support seasonal working capital build. We anticipate that this year's build will be lower. CapEx will be $50 million lower in the first half. Omega-3 cash requirements will be significantly lower, and there is further benefit from the improvement in earnings. Importantly, Nufarm's capital structure is designed to accommodate seasonal funding demands. There are no expected short-term refinancing needs for the group's primary debt facilities other than the standby liquidity facility, which the extension to November 2027 is well advanced, and the ABL facility matures in November 2027. Importantly, Nufarm's capital structure is designed to deal with seasonal fluctuations. In concluding, Nufarm enters financial year '26 with a solid base of profitability and a strong liquidity position. Crop Protection profitability improved across all regions, and our hybrid seeds business is generating strong profits. Our funding structure remains flexible, supported by $345 million of undrawn facilities and $475 million in cash at the balance date. Second half 2025, net debt had the usual seasonal unwind of $538 million. We are continuing actions to reduce costs and deleverage. We're expected to deliver further benefits in financial year '26. We are expecting positive cash flow, with anticipated further reduction in net working capital, disciplined capital management with capital expenditure below $200 million and EBITDA growth. To help with your models, we are giving the following guidance on some key items for financial year '26. Depreciation and amortization, circa $225 million; net interest expense, circa $105 million; and the effective tax rate, circa 30%. I will now hand you back to Greg.
Gregory Hunt: Thanks, Brendan. Rico is now going to cover the outlook and priorities for the year ahead. But before he does, I would just like to make some introductory remarks. As you would have seen on our ASX announcement, Rico has been appointed CEO and Managing Director of Nufarm, commencing in the role in the new year. Rico joined Nufarm to run portfolio solutions 4.5 years ago, having spent over 2 decades in the industry. He's done an excellent job in that role and brings considerable global experience running businesses in the Americas, Europe and Asia before his time at Nufarm. I am looking forward to working with Rico over the coming weeks and months to support the transition. I would also like to take the opportunity to thank our shareholders for their support over the last 10 years. It's been a fantastic opportunity to lead this business, and I'm very confident in the future of Nufarm under Rico's leadership. Over to you, Rico.
Rico Christensen: Thanks, Greg. First, let me start by thanking the Board for the trust they have shown in appointing me CEO designate of Nufarm and also to Greg for his support over the last 4.5 years in the business. I am honored that I will be leading Nufarm, a great Australian company that I deeply respect. In agriculture, Nufarm is known far beyond the borders of Australia. When I talk to farmers and channel partners in Brazil, in Canada and Spain and other countries, we have instant brand recognition and respect. We are known for our solutions and our dedication to be easy to do business with. We are a leader in key geographies and core crops, and in key product segments. We are known for our innovative mindset, thinking of new ways to support agriculture as it continues to evolve. I have more than 2 decades of experience from the agricultural industry, running businesses in Europe, South America, North America and Australia. I've spent most of my career competing against Nufarm. Taking that outsider's view, I cannot emphasize enough how valuable our brand is, how valuable our leading positions are and how valuable our relationships are, the relationships we have built with farmers, channel partners and technology partners for more than 100 years of doing business. I have regular conversations with partners about our innovations across Crop Protection and Seed. We are known and respected for our innovation and our partnership model. That means our R&D cost is many times lower than our competitors. This is the Nufarm way. Above everything else, we have a team of dedicated, hard-working people who show up every single day with fire in their eyes wanting to do better for Nufarm, for our customers, and for our shareholders. When we have all of those things I just mentioned, it's very valuable, and our competitors envy us for it. My job, with the help of all of our people around the globe, is to translate that half-fought position into strong financial performance and returns to our shareholders and position Nufarm for improved performance through the cycle. This leads me to my priorities for FY '26. First, we are already taking action to instill a strong cost and capital deployment discipline. We are doing that through a range of changes in our processes, accountability and ways of working, which combined will result in a positive free cash flow to support reduction in debt and leverage. We will extend that by embedding that cost and capital discipline into our corporate culture by refining structure, delegations and incentives. The aim is to ensure not just a onetime improvement in performance, but that this remains a focus through the years and is reflected in our performance through the cycle. Second, FY '25 showed positive signs in the performance and profitability of our Crop Protection business. We plan to build on our leading positions across geographies and crops. A great example is our phenoxy portfolio, which has growth potential that can be unlocked through partnerships and market presence. To that point, our pipeline looks healthy in the short, medium and long term. Combined with a stronger focus on launch excellence, we expect to accelerate the impact of the near-term pipeline. We have also made good progress improving our net working capital in Crop Protection and we have plans underway to deliver further improvement. Third, the seed review has provided us with valuable learnings. Most importantly, we need to be more focused in our efforts. We are repositioning our strategy and capital allocation to deliver improved performance and returns over time. We've already taken action in FY '25 to reduce cash expenditure and capital requirements, in particular in omega-3. We expect to benefit from these actions in financial year '26. Our hybrid seeds is a high-quality cash-generative business. It has unique and valuable IP that we are looking to scale in Southern Hemisphere markets. With the appropriate focus and attention, we see a clear runway for future growth and that will be a priority in FY '26. We are committed to building on our strategic partnerships and emerging platforms to improve the annual earnings profile. Turning now to outlook and how these initiatives provide confidence into FY '26. We are expecting strong EBITDA growth, assuming normal seasonal and market conditions. In Crop Protection, we expect continued growth in EBITDA, moderating on the 18% growth we saw in financial year '25. In hybrid seeds, we also expect growth in EBITDA and we are targeting approximately $30 million improvement in EBITDA in our emerging platforms. We are targeting a leverage of 2.0x at the end of FY '26 compared to 2.7x at the end of FY '25. We also expect meaningful positive free cash flow coming from improved earnings, the improvements in net working capital and from a step down in capital expenditure to less than $200 million. For the first half, we expect net debt similar to the prior period, but with a leverage below prior period coming from improved earnings. I would like to close by saying that I'm looking forward to leading Nufarm. While my immediate priority is on delivering on FY '26, I'm looking forward to speaking with you more in the future about longer-term growth plans across the business. Greg, Brendan and I will be joined now on Q&A by Brent Zacharias. We'll now hand back to the operator.
Operator: [Operator Instructions] Your first question comes from John Purtell with Macquarie.
John Purtell: I just had a couple of questions, please. Firstly, just in terms of the seeds review process, can you provide some further color there, particularly regarding the decision to hold on to the business and also the degree of third-party interest in the business?
Gregory Hunt: Yes. Thanks for the question, John. Look, there was broad market engagement with multiple parties, and the review -- as I said in our presentation, the review allowed us to challenge ourselves around the cost structure, around capital allocation, and around strategic focus. So the review was quite broad, widespread, encompassed the whole strategy. It wasn't just about a sale of the business or bringing in a capital partner. And as we said, we've concluded that we believe the best value for shareholders will be realized by implementing from that reprioritized or repositioned strategy.
John Purtell: And just a second question, and Greg, just beforehand, I just wanted to wish you all the best going forward. And thanks for all your help over the years. Just the second question around what you're seeing in terms of the broader ag chem industry. It's obviously been a tough few years. Cost of goods sold looks to have reset, which is good, but pricing still looks subdued, and markets remain competitive. So I just want to get your thoughts on that.
Gregory Hunt: Yes. And John, thanks for the comments. So look, I would say the overall outlook is positive. Seasonal conditions generally around all of our markets are positive. Grain pricing supports demand for both crop protection and our oil seeds sales. I think the important point is that active ingredient prices have stabilized. So we've replenished inventory at competitive COGS. And as a general statement, I'd say that channel inventories, particularly in North America, where it's been a little stubborn, have normalized. So I would say in terms of 2026, we would continue to see some volume improvement in Europe. I would expect sort of APAC to probably be broadly flat with last year. And in North America, we've had strong growth in the turf and ornamental business, and that's to some extent as a result of the lower spend, particularly in golf and in lawn care coming out of COVID. I think a more sort of normalized tariff situation, that seems to have settled down now. The tariff benefits on phenoxies and stable active ingredient pricing, I think key drivers for our business in North America. So generally, I would say, going into '26 in what is a pretty positive environment.
Operator: Your next question comes from William Park with Citi.
William Park: Can I just ask about the $30 million of earnings recovery you're expecting across emerging platform. Just looking at your slide now, you've alluded to $29 million of non-cash inventory revaluation hit that you've taken above the line this year. Is it basically the $30 million, is that basically the online to that $29 million? Or are there any other sort of changes you've made across the emerging platform you've alluded to sort of moving production from North America to South America, but just wondering whether that $30 million recovery would be -- whether if you would need to see some recovery in fish oil price or lower costs going forward that would help you -- that will effectively contribute to delivering that, please?
Brendan Ryan: Yes, thanks for your question. There's 2 elements -- sorry. Apologies. Sorry, there's 2 elements to the question. Yes, as part of the repositioned strategy, we have reduced the cost and the capital profile of the business. And as you mentioned, the second aspect is related to the carrying value of the inventory that we're taking into the current year and financial year '26, which is effectively assuming that $29 million will come through largely reflectable where fish oil pricing is today.
Gregory Hunt: Maybe we can -- Brent, if you wouldn't mind probably providing a little more color around fish oil pricing?
Brent Zacharias: Yes, certainly. I think as everyone's understood, fish oil pricing had come down from historic highs and persisted at levels of about $2,500, $2,600 through calendar year 2025. And that was really due to very large back-to-back quotas that we haven't seen in more than 10 years. So the comments about our position going into 2026 and the $30 million improvement in emerging businesses is based on the understanding of our inventory position based on fish oil prices as of September, which were around the $2,600 level. So obviously, then if fish oil prices improve throughout the year, that does provide likely support for upward pricing. The other thing I would add is that in recent weeks, we've seen the recommended North Atlantic quota come out at 35% down from last year. And we've also seen the Peruvian quota announced at about 35% down from last year as well. So hopefully, that provides a little more color for you, William.
William Park: And just staying with omega-3, you committed to sort of selling off your inventories there, but you were alluding to sort of cash flow neutral outcome. Just curious to know what you mean by that?
Brendan Ryan: Yes. In terms of the cash flow neutral outcome, it's supported by the reduced cost of the capital profile of the business. The exact timing of cash flow is obviously dependent on when we sell through on the inventory. And obviously, that's a consideration in terms of how optimally we do that over the next 1 to 3 years.
William Park: And then just one last question I had is, obviously, now with seed treatment business sitting in Crop Protection, how are you sort of internally thinking about the growth profile for the seed treatment business? Does it sort of trend in line with hybrid seeds business, the earnings growth that you're expecting through hybrid seeds business? Just any color around seed treatment would be appreciated.
Brendan Ryan: Yes, the reclassification in terms of the change of the segment in terms of taking seed treatment, which is approximately $20 million in financial year '25 EBITDA from -- included in Seed Technologies segment and Crop Protection. So following the review of Seed Technologies, we felt that was appropriate. It has no impact from an overall group perspective on the P&L nor the balance sheet. And in terms of sort of future profile, there's no significant change seen with predominantly, I guess, sourced on North America and Europe.
Gregory Hunt: And I think, Will, just if I can add, there's no direct link between our seed treatment business and our hybrid seeds business. Seed treatment provides chemical applications for the broader seed market, not just our hybrid seeds business.
Operator: Your next question comes from Ramoun Lazar with Jefferies.
Ramoun Lazar: Welcome, Rico, and Greg, best of luck in your future endeavors. Just a couple of questions. One on the Crop Protection, just a point of clarification there on the growth drivers. So it sounds like a bit of volume growth, but are you assuming a continuing improvement in that gross margin profile through '26?
Rico Christensen: Yes. That is correct. What we've talked about in the past is that when we look at the profile coming in through our product launches, the NPIs, they are generally at a higher margin than the existing business. That's something we've spoken to the past, and it continues to be the case looking forward. And I would also say that over the coming years, what we know about the pipeline today that is pretty consistent that they come in with a higher margin than the existing business, which you then will see reflected in the margin for the business overall.
Ramoun Lazar: That's pretty clear. And then I just had a question on the emerging platform, particularly omega-3. I mean it sounds like you're going to manage the cash requirements of that business more tightly. I mean can you maybe just talk about I guess, how that potentially impacts the potential growth profile of that omega-3 platform? Is there anything else also you can do to potentially improve the cost profile of that business, just given the volatility that we've seen over the last year or so?
Brendan Ryan: Yes. So we have -- as part of the review, we have reduced the cost and the capital profile of the omega-3 business with the focus on selling through on the current inventory in terms of really the customer supply requirements over the next couple of years. The focus also is looking at how do we improve our cost of goods competitive positioning, and that's planned with a change in the production zone to the Southern Hemisphere. That's underway in terms of that activity today. We'll continue to look at the capital profile and the cost profile knowing that there has been significant steps already taken, and that will continue to be a focus throughout the financial year '26.
Gregory Hunt: And just one other point there in relation to the carinata bioenergy business, the capital contributions from BP support the growth in that platform as well.
Ramoun Lazar: Okay. Okay. But to get -- I guess to get it back to a breakeven position, so you need to see either a further improvement in fish oil pricing or some of these shifting of growing to some of these lower cost regions before that -- before the earnings get to a breakeven? I guess do you have some sort of time frame on when you could get back to breakeven? It doesn't sound like '26, obviously, but maybe '27?
Gregory Hunt: Well, we've said we're not going to grow a crop in calendar year 2026. We have said that we will start -- so we're talking specifically about omega-3 now. What we have said is we will start to plant in South America small volumes in 2026 and then grow through '27, '28. I think the other point I'd just remind everybody of is that a big catalyst -- value catalyst in this platform is global deregulation. And we still believe we're on track to achieve that in '27, '28. In relation to the hybrid seeds business, that is cash-generative, so in effect, it funds itself. And as I said, just to be clear, the relationship with BP, they are continuing to support us with the ramp-up, both through SG&A and R&D support to accelerate the growth of that platform. So you're right, it's fundamentally an omega-3 issue.
Operator: The next question comes from Jonathan Snape with Bell Potter.
Jonathan Snape: Look, I'm going to ask 3 questions for the time because there are 3 different people. First sort of touch on the seeds, and I know you've gone through it a little bit of detail, but that $30 million improvement in the emerging platform looks like it's like really 3 buckets going on there, if I can talk about it, obviously, one is carinata. I think you said the plantings are up. I didn't catch if you said how much they were up this year, but I imagine that has some kind of earnings benefit to Nufarm. It sounds like the second bucket in there is omega-3, you're planting less of it. So imagine losses just from simply planting less again be lower in '26 when you sell '25 crop in terms of metric you mentioned it's the fish oil component. And I think you've referenced pricing [ together for '26 ].
Gregory Hunt: Sorry, Jonathan. Well, I got the first part of the question, which was increased carinata, the impact on seed sales or seed revenue, seed margin and oil, yes, we didn't get the second and third questions.
Jonathan Snape: With the omega-3 oil pressure, reduce planting, how much that kind of contribute into the omega-3 loss reduction year-on-year. And then I'm trying to figure out fish oil because the prices in Peruvian and Chilean ports last week took quite a big jump. And I'm trying to think if you -- it doesn't sound like you put any of that in your thought process at the moment. And I think that's the first reference price since the [ AMAPE ] numbers came out. So if that was to hold or continue, that would be a benefit to the sell-through, I imagine, of the inventory. Is that kind of how I should think about it but with the latter bit probably not in your thinking at this point?
Gregory Hunt: Thanks for the question, Jonathan. Brent, do you want to have a crack at that?
Brent Zacharias: Sure. Jonathan, just some comments on fish oil pricing first. Yes, we have seen some indications of that jump that you referenced in the Peruvian market, but it's just important to recognize that very little volume has actually traded yet until the quotas are actually caught. So yes, we're alive to it. But you're right, our $30 million improvement target for emerging platforms is based on where fish oil prices were trading as of September, which was about $2,600 on the North Atlantic, which is the one we tend to track and follow because they sell into certified fisheries. So absolutely, you're right. If we do see some upward movement that creates upside to that $30 million improvement target. It was really based around the $2,600 that we saw as of September. And just to add...
Jonathan Snape: No, I was just interested in the carinata side and how much that contributes.
Brent Zacharias: Yes. Carinata, as Greg covered in the script, we're starting to see some really strong fundamentals with the increase in GHG values. Just to comment on that. A year ago, the German GHG ticket price was $75 for a ton of carbon. Today, it's trading at over $250 as referenced by Argus. So that's encouraging us. And as you noted, we did increase our plantings last year, and we'll continue to scale further going into 2026, which creates seed margin as well as with rising fundamentals on GHG, it should expand oil premiums that we share with BP as well.
Jonathan Snape: And look, can I ask -- this is -- the next question is around active ingredients prices. I noticed you said that kind of stabilized. And I think some of your competitors have said that as well in the recent week. If I look at ex-China factory gate price and some of the actives, it's actually started to be kind of an upward movement like high single-digit year-on-year gains in some of those commodities. So when you're looking into 2026 in your baseline thoughts, are you kind of assuming a fairly benign environment for actives and therefore, sell through prices? Or do you factor in that there has been kind of this upward movement in the last 2 or 3 months in actives and if you find anything, it's a carry on active?
Rico Christensen: So we definitely use the current pricing for budgeting and forecasting for the coming years. But obviously, we're also very attuned to change in the prices coming out of China. And it does feel like not just when we look at our own momentum in the second half, but also looking across the industry. It does feel like we're beginning to see the industry as such beginning to climb out of that pricing depression we've had in the last couple of years. So we hope that we will see that continue in FY '26.
Jonathan Snape: And look, my last question is balance sheet as always. The off-balance sheet facility utilization was down quite materially year-on-year. It looks like you shifted $100 million from off to on, which obviously says your operating cash flow is probably a little bit better. But if I'm looking at it right, I think that's the lowest utilization of the off-balance sheet facilities by Nufarm that I can find. Is there any particular reason why you're utilizing those facilities materially less than you have in the past? Is it aged stock? Is it something else? It just looks like an exceptionally low number.
Brendan Ryan: No, it's not -- so Jonathan, just on the supplier financing, just the one facility. The balance at -- $26 million at the balance date. Why is lower primarily related to the arbitrage, I guess just on interest rates, particularly between the Chinese rates? And I guess, just to reinforce, if you look at our payables days, they remain flat. So there's no trade-off between, I guess, terms of trade versus debt.
Jonathan Snape: Yes. Okay. But if you were to use those like closer to the historical average, obviously, it would move debt off your own balance sheet. So it's just an interest rate arbitrage thing. It's nothing else?
Brendan Ryan: Yes, that's correct.
Operator: The next question comes from Owen Birrell with RBC.
Owen Birrell: Look, first question for me, just again on the omega-3. I just wanted to get a better indication from you as to your current omega-3 oil inventory position. Just wanted to get a sense as to how much oil was actually produced through '25 and therefore, what's your carryover inventory into '26? And just acknowledging the comment that you said about no crop being grown in '26, does that mean there's going to be zero oil generated in '26?
Brendan Ryan: Yes. Thanks for the question, Owen. Just clarifying on omega-3 inventory position, I won't call it metric tons, that's quite commercially sensitive. But what we have is a carryover of the inventory into '26 from the crop last year, and that's been valued at the current North Atlantic fish oil pricing, which one person referred to a $29 million non-cash revaluation. So that's the -- effectively a benefit that carries through to the sales profile in financial year '26. In terms of new crop, there is a legacy crop coming from the FY '25 plantings. That will -- we're factoring in that there will be some revaluation on that crop relative to where fish oil pricing may go in the future. So it's a factor of that. And then, I guess, overall, the focus is on managing that inventory in terms of optimally gaining cash position from it. And that's in parallel then with managing the demand requirements from our customers.
Owen Birrell: I know the -- effectively the $29 million write-down of that inventory position, but are you able to give us a sense as to what the -- how much -- what the value of that inventory sits on your books right now post that write-down?
Brendan Ryan: Look, the value of that book is probably closer on the majority of the omega-3 facility, which is disclosed in the accounts. So it's in the order of -- I give an approximate of about $100 million, which is pretty close to that.
Owen Birrell: Okay. And just second question, just on the bioenergy platform. You mentioned quite extensively the sort of new capital-light model. But I'm just wondering if you can give us a sense, I guess, functionally or operationally, how has the model changed from what you were previously doing?
Brendan Ryan: The model hasn't previously changed. So the model hasn't changed in terms of 3 years into the agreement. It's a capital-light model in terms of -- from our perspective, as we take no balance sheet. So no inventory comes on to our balance sheet and also through the partnership, some of the supporting costs and capital requirements are co-funded.
Owen Birrell: So previously, you were taking that inventory on your balance sheet? Is that what I'm reading into there?
Brendan Ryan: No. we're taking no inventory to the balance sheet previously. Just other than the underlying carinata seeds, no oil, no carinata oil or biofuel oil on our balance sheet.
Owen Birrell: Okay. But it sounds like the capital-light is very much that the capital contributions are coming from BP rather than yourself? Is that the difference?
Brendan Ryan: It's co-funded between us and BP.
Owen Birrell: Okay. I'm just trying to understand what's actually different. What's changed? You're talking about a capital-light model, but it doesn't sound like anything has actually changed.
Brendan Ryan: Nothing has changed. Just stating that it's a capital-light model.
Operator: The next question comes from Scott Ryall with Rimor Equity Research.
Scott Ryall: My first question relates to Slide 13 and the talk about R&D expenditure. I just want to make sure I heard Brendan correctly that the R&D expenditure, broadly speaking, is expected to continue to grow. Did I catch that right? And if so, I guess I'm looking at the material items -- the slide before. We've impaired some intellectual property on sunflower and canola. And I'm just wondering, and the question stands, regardless of what the outlook for R&D is. But how do you make sure that you get your real bang for buck? And how are you ensuring that you learn from whatever has gone wrong with that intellectual property? And how does that fit within your reprioritization, please?
Brendan Ryan: Well, thanks for the question. Just on R&D, just to clarify. So the expenditure going forward into financial year '26 has a lower level of expenditure than financial year '25, and that's primarily driven by the near-term focus on the research and development pipeline. Sorry, what was your second part of the question?
Scott Ryall: Just R&D and making sure that you're not -- your material items in the future are not writing off intellectual property, which presumably is where the R&D has gone to. How does that fit within the reprioritization, please?
Brendan Ryan: Yes. So thanks for that. In terms of material items, the material item relating to the sunflower is a result of the position or the conflict going on in Ukraine and Russia. It's been much more prolonged and severe than we initially anticipated. And given it's a significant sunflower market, that was the driver in terms of the impairment around the sunflower IP. In terms of more broadly managing the benefit that comes from our investments in R&D, there's a rigorous process around identifying the research and development product line that provides, I guess, a balance, both in the short term and the medium term, followed with a disciplined approach around stage gating and review in terms of monitoring the progress in terms of the delivery of the benefits. I might pass to Rico, he might add a few more comments just around that.
Rico Christensen: Yes, sure. I think we expect the R&D cost to be lower in FY '26 compared to FY '25. It's due to some of those reasons Brendan mentioned around more efficiency around stage gate processes and so on and also because we did have some one-offs in our R&D cost in '25 that we've announced in different press releases we've done in agreements with different partners. Again, those are capital-light models compared to different -- what different companies are doing on R&D. So generally speaking, we do spend a lot less on R&D than our competitors because of those partnerships that we have.
Scott Ryall: Okay. All right. And then, Rico, my last question is just for you. I -- sorry for the football results overnight, by the way. So you've been onboarded in Nufarm for more than 3 years. I guess I'm just wondering, how do you think the position of Nufarm will change over the next 3 to 5 years relative to what you've observed the position has been over the year has changed over the last 3? What do you really think is going to be where the change in direction for the company, please?
Rico Christensen: I think it's a good question, and I also spoke to it a little bit about in the priorities and the outlook. And I think...
Scott Ryall: That was just for 1 year, right?
Rico Christensen: Yes. Well, exactly. So as I said in the -- in my comments, the short-term focus is really on -- around capital discipline and cash discipline. We have -- we want to get our leverage down as we've stated. But at the same time, obviously, we also have to solve for the growth for tomorrow in Nufarm, and we continue to do that through our investments in R&D in both seeds and cost protection where we have a strong near, medium and long-term pipeline. And I think as we talked about earlier, when you see the impact of our new product introductions across the business in Crop Protection. We've said overly it's around 15% on revenue. But in fact, it is a little bit more when we talk about gross margin. And what you will see over time is that as those new products coming into the portfolio, they will keep improving our gross margin profile and therefore, also the earnings for the company.
Operator: There are no further questions at this time. I'll now hand the call back to Rico Christensen for closing remarks. Please go ahead.
Rico Christensen: Yes. Thank you. I just wanted to end up by saying, thanks for dialing in. I look forward to catching up with many of you over the coming days. And this then concludes our call. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.